Operator: Good morning, everyone, and welcome to WEG's conference call for the Results for the Third Quarter 2023. Please be advised that we are broadcasting this conference call along with the slides on our Investor Relations website at ri.weg.net. And after its conclusion, the audio will be available once again on the IR website. [Operator Instructions] Any forecasts contained in this document or any forward-looking statements that may be made during this conference call regarding future events, the business outlook, operational and financial projections and targets as well as WEG's future growth potential are management beliefs and expectations of WEG's management based on the information currently available. These forward-looking statements involve risks and uncertainties, and therefore depend on circumstances that may or may not occur. Investors should understand that general economic and industry conditions and other operating factors could affect WEG's future performance and lead to results that differ materially from those expressed in the forward-looking statements. As a reminder, this conference call is being conducted in Portuguese with simultaneous translation into English. With us today, in Jaragua do Sul, we have Andre Luis Rodrigues, Chief Financial Officer; Andre Menegueti Salgueiro, Director of Finance and Investor Relations; and Felipe Scopel Hoffmann, Investor Relations Manager. Mr. Rodrigues, you may proceed. You have the floor.
Andre Luis Rodrigues: Good morning, everyone. It is a pleasure to be with you once again for WEG's earning conference call. We delivered a quarter of positive performance in operating margins and return on invested capital, despite a slower pace of growth compared to previous quarters. Good demand for long cycle products, the mix of products sold and maintaining the operational efficiency of our industrial units continued to contribute to this performance. In this quarter, net operating revenue grew 2.1% vis-a-vis the third quarter 2022. In Brazil, good results in revenues from sales of long cycle equipment, especially in the field of power generation, transmission and distribution with an emphasis on transmission and distribution and wind generation projects. In the foreign market, the GDT business once again made a positive contribution, especially the T&D business. In the other business units, we saw stability in demand for our products and services with growth in revenues in local currencies compared to the same period last year. EBITDA reached BRL1.7 billion, up 10.9% vis-a-vis the third quarter 2022. The EBITDA margin ended the quarter at 21.5%, an increase of 1.7 percentage points compared to the same period last year. Throughout the presentation, Andre will provide more details on the performance. And, finally, ROIC, we'll see on the next slide, reached 35.4%, an increase of 7.5 percentage points compared to the third quarter 2022. The improvement in our operating performance, supported mainly by the improvement in margins and control of working capital requirements, more than offset the increase in investments in fixed assets in the period. I will now hand the floor over to Andre Salgueiro.
Andre Menegueti Salgueiro: Thank you, Andre. Good morning, everyone. On Slide 5, I present the evolution of the revenue of business areas and markets where we operate. In Brazil, we continue to see good demand for long cycle industrial equipment, such as medium voltage electric motors and automation panels. For the short cycle products, we saw a healthy demand for automation equipment and sales of industrial electric motors. In GDT, the TD business posted another quarter with good result, boosted by deliveries in large transformers and substations, and the distribution network auctions. We also highlight the wind generation business that stands out. On the other hand, the solar generation business, still influenced by the high cost of financing, the change in regulations in the sector and more recently the reduction in raw material costs, showed a drop compared to the same period last year, impacting revenue growth in this business unit. In commercial engines and appliance, despite the drop vis-a-vis the third quarter 2022, we saw demand pick up in relation to the second quarter, especially for the pumps and air conditioning segments. In paints and varnishes, we saw demand settle, despite the positive activity linked to the oil and gas and maintenance segments. In the foreign market, despite the good performance in local currencies in most of the markets, revenue performance in reals was impacted by the exchange rate variation in industrial short cycle products such as low voltage electric motors and serial automation products. We have the oil and gas and water and sanitation segments standing out. For long cycle equipments such as medium voltage electric motors and automation systems, we continue to see good demand, reflecting the order backlog built up in recent quarters in the GT area. The T&D business showed good results, especially in North America with sales of transformers for power stations being particularly strong. In commercial engines and appliance, despite the good performance of the commercial engine operations in the U.S., there were fluctuations in demand in Mexico and China, resulting in stable revenue in dollars. The drop in revenue in reals reflects the exchange rate variation for the period. In paints and varnishes, revenues from operations abroad also fell, impacted by the exchange rate variation and lower export activity from Brazil. In Slide 6, we see the evolution of EBITDA, which grew 10.9%. The EBITDA margin ended the quarter at 21.5%, 1.7 percentage points higher than the same-period last year. This is a reflection of the accommodation of costs in recent quarters along with a better mix of products sold. Finally, on Slide 7, we show you the evolution of our investments. We invested BRL431 million this quarter, 43% in production units in Brazil and 57% abroad. In Brazil, we continue to invest in the expansion of the industrial motor, electric traction motor, and battery pack factories in Mexico, as well as continuing to increase production capacity at the motor and transformer plants. We also announced the acquisition of a new plot of land. Abroad, we are continuing with the construction of the motor factory in Portugal and the expansion of the high voltage motor and generator factory in India. That concludes my part. I will return the floor to Andre.
Andre Luis Rodrigues: Now, before we go to the question-and-answer session, I would like to refer to our latest achievements and comment on our outlook for the rest of the year. Regarding the achievements, I would like to highlight we recently announced the BRL400 million acquisition of Regal Rexnord's industrial electric motors and generators business, in line with our strategy of continuous and sustainable growth. This transaction includes the acquisition of 10 factories in seven countries, commercial branches in 11 countries and a team of approximately 2,800 employees worldwide. The completion of this transaction is subject to the fulfillment of certain conditions precedent, including the necessary regulatory approvements for the transaction. As Salgueiro mentioned, in August, we announced the acquisition of a new plot of land in Mexico and an investment of USD40 million. The site has a total area of 640,000 square meters, is located opposite WEG's largest industrial park in the country and should enable us to gradually increase production capacity and expand. We also have an important project to expand production capacity and verticalization in Itajai, Santa Catarina, Brazil, which will be carried out in the existing manufacturing part, and will receive investments of BRL87 million with completion scheduled for the end of 2024. I would like to speak about the outlook for the rest of the year. We remain attentive to the global macroeconomic scenario and the possible risks and volatilities in our operations. Recent data shows a slowdown in demand for industrial equipment globally. Despite this, we maintain our expectation for growth, albeit at levels below those of recent years. Given our diversification and positive demand in some businesses, especially in the long cycle equipment where we continue to have a good order backlog both in Brazil and abroad for industrial equipment and GDT with an emphasis for transmission and distribution projects. On the other hand, in short cycle business, we are starting to see some signs of slowdown. We continue to have healthy operating dynamics with a good mix of products sold and maintenance of the operating efficiency, this should continue to support profitability and return on invested capital for the rest of the year. This concludes our presentation. Operator, we can continue on with a question-and-answer session.
Operator: [Operator Instructions] Our first question is from Victor Mizusaki from Bradesco BBI.
Victor Mizusaki: Good morning. And I have two questions at my end. The first referring to what you just said about the global scenario. When we look at the result of WEG in the third quarter and we see what is happening in Europe, there has been a drop. My first question, if industrial equipment in Europe -- well, there has been an impact on Europe as a whole. If you could give us more details on specific sectors, which is the product line and costs, if you could share this information with us? And the second question refers to margins. We have seen a drop in the third quarter, and other players of other sectors have signaled that this should continue on in the fourth quarter. If you could also refer to this margin issue? Thank you.
Andre Luis Rodrigues: Hello, Victor, and thank you for the questions. The first issue referring to the drop of revenues in Europe in the third quarter this year vis-a-vis the second quarter, I don't know if you recall, in the second quarter, we mentioned we had a specific project for GTD in Europe. It was specific for that quarter, and we did not have any recurrency in terms of this project and this took place exclusively in the second quarter and this is what led to the drop in the other markets. We see very positive performance above our expectations in some cases. Now, when it comes to your second question, referring to margins, during the last quarter, we had 22.4% of margin and we're always very careful when we speak about margins, because we can have oscillations between one quarter and the other. Now, because of globalization of costs and much more, we have a return of the margin, but not significant. I think, Salgueiro mentioned this in the presentation. We had an increase in revenues for wind energy in the first half of the year. As you know, globally the wind energy sector has less revenues, less margins than our other businesses. And this also impacted our margin reduction. Now, if we exclude this effect of wind energy, even with this, we delivered a margin that is quite reasonable considering the context that we are undergoing at present globally.
Victor Mizusaki: Well, thank you. Thank you very much.
Operator: Our next question is from Lucas Laghi from XP Investimentos.
Lucas Laghi: Good morning, everybody. And given the acceleration of growth that we're observing, we have been speaking with investors and if we go back to what was said at the end in terms of the slowdown of new orders, I think that for the long cycle you have a very strong portfolio that is sustainable. And, of course, this should go on in the coming quarters. My question is, how do you see the entry of new orders and the cost in foreign markets? We have truly observed a slowdown in our global peers, especially in terms of new orders, of course you have a backlog, but does this mean you will have a better generation of revenues in the coming quarters? And another point simply to check what is happening domestically. You mentioned that in GDT the performance is not as good as in previous years, but that you have begun to see a recovery in distributed solar generation in Brazil as well. This is simply to better understand those points that are related to the growth of revenue and, of course, the slowdown?
Andre Luis Rodrigues: Thank you, Lucas, for your question. I'm going to answer part of the question, and Salgueiro will complete the answer regarding GDT. I believe that we have to begin carrying out an analysis of what has happened in the last three and a half years. We went through a very favorable period in terms of demand for industrial equipment and, of course, it was expected that we would have a normalization of this situation, and this has begun to happen. Now, we have seen increase of demand for some equipment in Brazil as well as abroad. The message is that, regardless of this context, in this quarter we had two factors with a significant impact on the performance of our revenue. I'm referring to the exchange rate valuation of the reals vis-a-vis foreign currencies and the performance of the solar sector. Quarter-on-quarter our growth was 2.1%. Now, if we exclude these two effects, we would have revenues with a growth of very close to 10% of growth for the quarter. And I think that this is reasonable if we think of the restrictive context of global economy. When we speak about revenues, just as an example, the solar energy had two negative impacts. First, an impact on revenue due to the drop that was described, and the volumes traded. And, secondly, this refers to the reduction in the price of solar panels. We had a drop in the cost of solar panels. Panels become ever cheaper and, of course, revenues are lower, leading to price variation impacting the revenues for the quarter. Basically, this is what happened when we analyzed what happened in this quarter in terms of revenue performance.
Andre Menegueti Salgueiro: This is Salgueiro and simply to add to what was said by Andre and refer to the portfolio, we need to break this down by region. We had already been reporting a good activity of our portfolio with the entry of orders from Europe. This is something that has been happening for more than a quarter. We also have a specific situation in Asia Pacific, more specifically in China, a slower recovery than we had imagined, and we have begun to observe volatility in other regions, especially in the short cycle equipment. We have to follow up on this, and the short cycle portfolio is not a very long portfolio. It will last two to three months, and we'll have to follow-up on the evolution month-after-month, but we do observe signs of volatility. It's also important to mention that the long cycle portfolio continues to be positive in the industrial part in the large projects, oil and gas, pulp and paper, especially in GTD with a highlight for IT. Now, regarding your second question to qualify this better. In practice, in the third quarter, solar energy accelerated the slowdown vis-a-vis what had happened in the first half of the year. It wasn't a significant drop, but it did take place. And, basically, due to a more recent effect, which is a change in regulation and the high cost of financing, which has been a reality since the beginning of the year. What we have begun to observe since the end of the second quarter is a greater impact on price, as Andre mentioned. Once again, because of a reduction in the cost of panels during the year and because of the market dynamic, there is a drop in price and, of course, this compromises our growth. So, in the solar segment, from the viewpoint of revenue, we have had a more intense effect, but when we look at other segments, yes, there was a drop, but a lower drop in revenue and we see lower drops vis-a-vis, the market that is also having these drops. So, this is a more challenging moment for the market at present, but we are gaining space, and we think that during a resumption we will be very well positioned to make the most of this in coming years.
Lucas Laghi: Okay. That's very clear. Thank you, and have a good day.
Operator: Our next question is from Daniel Gasparete from Itau BBA.
Daniel Gasparete: Good morning, everybody, and thank you for the call. We have two questions. First of all, we would like to gain a better understanding of the price trend and margins in motors. You spoke about a drop in the order entry now, the impact that you achieved and the margin, does this already reflect a drop in prices or have prices remained constant? Is it a greater volume, lower price, or are both taking place? We have another question referring to the long cycle margins. You did explain the effect on wind energy. Now, in terms of the construction contracts, you have had a growth. It has reached the higher revenue rate since 2018. Now, simply to better understand this, if this is the effect of the wind energy where the margins are different than they were in the past, or does this mean you have a normalization of the long cycle margins, which of course is something that happens and will happen in the longer run, now this is simply to understand if the magnitude of margins will continue on, or if we will have a decrease going forward? Thank you.
Andre Menegueti Salgueiro: Gasparete, thank you for your questions. Now regarding price, specifically when it comes to motors or engines, there hasn't been a significant change in the last quarters. The price is relatively stable since the beginning of the year, which means that there are no significant sectors. Now, when it comes to the long cycle margin what we observe and I'm referring to our construction contracts, in fact there was a fluctuation in the quarter. Part of this is linked to what was mentioned by Andre. Wind energy was a somewhat higher share in the revenues this quarter. This doesn't mean that the margins of wind energy are worth the share of revenues is somewhat higher, this had an impact, but this effect is not only for wind energy, the long cycle dynamic, as we mentioned in the previous quarter, is that, as time goes by, as we deliver the projects that we contracted in the past, we also have the entry of new product with a more normalized margin. And, of course, this is what has been happening in the last quarters. It's natural to see a normalization of this margin, which has been positive in the last quarters and is now returning to a scenario of greater normalcy not only in wind energy, but normalization as we had anticipated as part of the margins of the long cycle.
Daniel Gasparete: Simply a follow-up if you allow me. The prices continue to be quite stable. Is it fair to think that you will have a more stable order entry, and that the second movement in industry will be a slight increase in prices, the competitive environment, of course, will have an impact on prices?
Andre Menegueti Salgueiro: Well, if you think about the dynamics, that would make sense, but we depend on the market. We repeat this. Everything depends on the market, and according to the situation we have to adjust to it, we're following up on what happens. And depending on what will happen, we will have to take a stance. Thank you.
Daniel Gasparete: Thank you very much, and have a good day.
Operator: Our next question is from Lucas Marquiori from BTG Pactual.
Lucas Marquiori: Good morning, and thank you for the call. We have two topics at our end. Now, given the magnitude of this slowdown in your topline since the beginning of the year and we spoke about mid-teens, low-teens, and I would like to understand your understanding of which should be your topline growth in the rolling 12 months, if it will be below that -- if you have room to catch up on those factors going forward simply to work with that moving average exercise. Now, the second topic, I did not find a great deal of information, information on BirminD. I presume, this refers to the new turbine. If this means that you will further internationalize your wind energy project? If you could give us more in-depth explanations on this?
Andre Luis Rodrigues: Hello, Lucas. This is Andre Rodrigues. Now to speak about the rolling 12 months, rolling year, we're still concluding our budgetary process and you will have more information at the end of the year. What I mentioned in one of the first answers regarding to the market situation is that, we no longer have winds in our favor. This is very clear. We look at the news in terms of the demand in most of our businesses. And it is important to underscore that we have been through situations like this one in several times of our history. And what WEG tends to do is to find alternatives in its long-term strategy to be able to withstand more difficult moments. There are avenues of growth. We're always very faithful to these new avenues. We develop new opportunities with the products that we have, the demand for electrification, the new trends. Well, the demand will continue to be high for our products internationalization. We continue to invest in this. In the presentation, I also mentioned the new lot that we acquired in Mexico, and we're working to -- work on projects for the future to ensure our growth. More recently, a plan for the construction of low voltage motors and the general development of our business. And we cannot forget the inorganic growth that from time-to-time also contributes to the company's growth. Last month, we had the acquisition of the system, so the message is that even in unfavorable environments, the company has to seek alternatives to continue to find these avenues for growth and WEG has done this through time, and we have given you some clues of how we're going to continue to do this going forward. Regarding BirminD, this is a positive news. We are reinforcing our engineering structure in wind energy business. This is not the first time we do this. When we began with a 2.1 machine, we carried out a partnership with an American company that we later acquired. BirminD is a company that specializes in the development of new technologies and projects for aero generators and turbines as well. It also renders services, offers consultancy, develops technology for the generation of wind energy. It has a team of 30 professionals that are highly qualified, led by an engineer with more than 15 years of experience in the industry. We have a minority position, 45% in the company, and this acquisition is part of the WEG's growth strategy when it comes to renewable energy in the GTD business. We're working with a robotic construction of [7 Mega]. The consultancy participated in this project, and this gives us the opportunity to continue to develop new technologies for this market and shows the commitment that WEG has in the future of wind energy business.
Lucas Marquiori: Wonderful. Thank you very much for your answers. Have a good day.
Operator: Our next question is from Rogerio Araujo from Bank of America.
Rogerio Araujo: Good morning, everybody. Thank you, Salgueiro. Thank you for taking the question. I have a question, which has the following. If you think about markets that could contribute with growth revenues for WEG, if you could give us a better notion of timing simply to deal how enthusiastic you are in terms of your growth potential. And, of course, here we exclude everything you have already mentioned in Turkey, India, United States, in Brazil, an increase in market share in automation and automation drive, new businesses, electric products, battery storage, digital solutions, endless. So, if you could tell us what is it that gives you the greatest enthusiasm as part of your order portfolio? Of course, your order portfolio will continue strong in coming quarters, but does not have an incremental growth of revenue. So, what could lead to a better growth, incremental revenues? And, also, give us a timing idea, if you could? Thank you very much.
Andre Menegueti Salgueiro: Well, thank you, Rogerio, for the question. And while you were making the question, we were thinking about the answer. Let's speak about the opportunities we have before us. We have grasped most of them, sometimes we don't highlight any, but opportunities do happen in businesses that are already mature in the company. We have the T&D business, transmission and distribution, that we have been speaking about for years. In the last 12 months, T&D has been highlighted in growth, not only in Brazil, but also abroad. And the outlook is very positive in the Brazilian market, because of all of the projects for transmission auctions and projects we have had in the last year and in what is about to happen going forward. The demand we have for transformers, for renewable energy and all the part of transformers for distribution networks and industrial transformers that also have a very positive performance abroad, a very positive outlook for T&D, especially in the U.S. and in Mexico. But what stands out most is the United States and we're reinforcing the electrical grid and generation of renewable energy and the positive market, because of the Inflation Reduction in the United States. What is happening in the United States poses a very good opportunity for us, but it is in the middle and long run. Besides the investments we have already mentioned of investments in U.S. and Mexico, as Andre mentioned, we're working with electrical energy. This is a reality in terms of supplying the power train for heavy vehicle in Brazil and recharging stations that have had a relatively good performance. And the opportunity of internationalizing as a whole. You mentioned automation and I speak about the strategy that we have for automation drive that we referred to significantly last year. We want to make the most of the share that has an industrial motors and leverage the growth in gearboxes, and other businesses that we have in our portfolio that have a good outlook for development for the future.
Rogerio Araujo: Well, thank you, Salgueiro. That is very clear. If you allow me a follow-up question. You spoke about distributed solar energy, now if you could clarify this point better, it seems that in the second quarter you had a drop in the incremental revenue because of raw material. And besides that, is there any expectation for recovery? Do you have visibility on when the recovery will take place if there will continue to be a drop? When you will have a stronger base for solar generation? And you also spoke about sun farms that could become part of your portfolio to offset this distributed solar distribution. It would be wonderful if we could have more color at the base and just how far the solar distribution is hampering your growth? Thank you.
Andre Menegueti Salgueiro: Okay. Let's explore this further then. In practice, I think the dynamic has already been mentioned, it happened in the third quarter. And I would like to underscore that when we look at volume at megawatts, we don't see the market worsening. This effect in the third quarter is more connected to price. And if we look at the future, the price will be positive. The lower cost for the system improves payback and return for the end client. And this could lead to a greater demand going forward, so we're going to have to follow up on this. The year of 2023 is a year where we see a market accommodation, because of the regulatory changes, the higher cost of financing and, more recently, the price effects in 2024. We still have the phase out of our distributed generation projects, our middle and large projects in DD -- TD, as we call them here, something should be happening with these in 2024 and we should also see a recovery in demand given the price drop for the rest, especially for the smaller sized projects. It's very difficult to share our expectation with you, because our expectation is for the mid and long-term. But in solar energy, we do believe that we should have growth in the middle and long-term. This makes sense in the Brazilian market. For years, we have had a very strong growth because of the incentives that existed to develop the market. These have been withdrawn and after the adjustments that are happening this year and because of the phase out that we will have in 2024, we should see a resumption in this market eventually. Perhaps not at the same growth pace that we saw in the past, but a more constant growth at a lower level than observed in the past. Now, this area is centralized generation. This year is better than last year. But here, once again, we depend on that demand for new energy. And, looking forward, this will depend on the dynamic of auctions for energy. We're working on some projects for the free contracting market, and we will see what happens going forward.
Rogerio Araujo: Thank you very much. And, well, once the regulations are fully implemented, how relevant will this be for the WEG portfolio?
Andre Menegueti Salgueiro: I would say about 30%.
Rogerio Araujo: Very good. Well, that was very clear. Thank you very much.
Operator: Our next question is from Alberto Valerio from UBS.
Alberto Valerio: Hello, Salgueiro and Rodrigues. Thank you for taking my question. Well, you have addressed most of our doubts. I do have one more question that refers to the labor market. We spoke about the salaries that were somewhat tight. If you could give us an update in terms of this market and some potential bottlenecks for growth in supply, not in demand, that you could face in the future? Thank you.
Andre Luis Rodrigues: Hello, Alberto. Let's speak about the first part of the question. In GT, we have greater difficulties in the U.S. market. If we had better availability of labor, we could enhance our production capacity in terms of transformers. Now, this is concentrated in the United States in the plants in the south, in Washington, in Mexico. We don't foresee any problem, because our units in Mexico are located in Monterrey, where you have a greater offer of labor and significant demand. We don't foresee any difficulty in Mexico. All of our labor needs have been fulfilled. Now regarding the chains, after the pandemic and because of the normalization, we have not seen any bottlenecks. But it is correct to state that when it comes to components, this has not been fully normalized. But we have learned our lesson. We are working with longer term contract for the supply of electronic components, and we hope that in 2024 this part will also have been fully normalized.
Alberto Valerio: That's wonderful. Thank you very much. A follow-up, if you allow me, regarding Rogerio's last question on solar energy. Your portfolio for mini plants for the residential segment, what are you expecting from this, if you could give us more color about this segment?
Andre Menegueti Salgueiro: The solar energy portfolio is a very short portfolio as we have observed a drop in revenues, this also is reflected in the portfolio. When we look to the future, we have visibility of some months, but there is no dynamic that is different in terms of portfolio compared to the demand we see from the customers and what is happening in revenues. All the mix throughout the year will be maintained and for the coming year we will have to see what happens depending on the subsequent demand we will have.
Alberto Valerio: Thank you. Thank you very much.
Operator: Our next question is from Marcelo Motta from JPMorgan.
Marcelo Motta: Good morning. And we have two questions. The first, if you could speak about your outlook for your CapEx. We see an increase in pace in the domestic market and with the acquisition of Regal, if your CapEx will be somewhat lower compared to 2023 because of this accommodation. So, which will be your CapEx demand for the coming quarters? And the second question. In the last call, you mentioned that you were still surveying the impact to give the market a better outlook of what would happen in 2024. And I would like to know if there's any novelty in this field?
Andre Luis Rodrigues: Motta, thank you for the two questions. Let's begin with the CapEx. Everything that we have invested has been done with a long-term vision, evidently in the more assertive moments of the economy. We can adjust our speed. We're completing our budgetary process and we don't foresee a reduction of CapEx for the coming year, because of all of the business dynamic that we have approached in the call. A very positive dynamic for transmission and distribution, that is consistent in all the regions where we operate. We foresee an increase of capacity in Brazil, in North America, and in all of the countries of Latin America where we operate. We cannot forget the investments we're making in Brazil itself. On battery packs, the increase of capacity of motors, a plant that will be devoted to electrical components. So, at this precise moment, in some businesses, we have very consistent demand and we don't see a scenario for reduction of CapEx for 2024. At the end of the year, of course, we will be able to convey more detail about all of our expectations and where the company is willing to allocate more capital in its quest for growth. In terms of the transfer price, the only update that we have, Motta, is the following. We're developing a benchmark. We have concluded this work. And, as we have said, during the year, we confirm our expectation of the estimated impact of reducing by 50% the benefit that we had in previous years. So, we're confirming what we had as the initial expectation.
Marcelo Motta: Wonderful. Very clear. Thank you very much.
Andre Menegueti Salgueiro: I'm sorry. We were on mute, Bruno. I think you had a question. If your microphone is on, you can go on with your question.
Bruno Amorim: Can I proceed with my question?
Andre Menegueti Salgueiro: Yes, there was a problem with the operator. Please proceed with your question.
Bruno Amorim: Good morning, and thank you. We have spoken about your outlook for growth in the call, but it would be interesting to put together all of these moving parts. We have seen a zero growth after a growth of 30%, 20% or 10%. I would like to know if -- when going forward we will have a contraction in revenues, if the company will have to return the additional amounts of revenue it made during the pandemic, or if we -- what we see now is what we should expect going forward? Perhaps not a growth of 20%, 30%, but 10%, 15%, which is your historical average, because if -- the question is, if we will have a contraction in revenue, if this drop will stop happening, if we will see more moderate growth. And the second question, I would like to speak more about the short cycle in the United States. We see some industries accelerating there, so what do you see there if this is simply a phenomenon of the last few months? If you could give us more color on this short cycle group, which is more interesting in Brazil? Now, anything would help us to better understand what will happen with margins. Thank you.
Andre Menegueti Salgueiro: Very well, Bruno. Regarding the growth, I think, Andre has spoken about this, especially when thinking about the coming 12 months. We have had a slight slowdown in the last quarters, months. We have come to a growth of 2.1% in this quarter, partially due to the exchange rate and some specific adjustments we have already mentioned. It's important to look at the revenues of the market abroad in dollars. As we disclose them in the release, we still see expressive growth, 14% in dollars, almost 20% in local currencies. Now, having said that, if we look at our shorter-term scenario, we will perhaps have a smaller growth. Now, we're serving these scenarios to be able to disclose more information, but, as Andre mentioned, we're looking at opportunities in markets where the wind is not truly favorable, but to continue on with sustainable growth in the company. So, the retraction of revenue is not one of our scenarios. When we think about 2024, when it comes to the short cycle in the U.S., yes, we have seen a slowdown, but if we look at the revenue performance, it's growing in dollars in mid-digits. There was a slight drop vis-a-vis what was presented in the first half of the year, and we have to follow up on this going forward in the regions where we are active, the situation is more positive. But in the industrial part, we do see some signs of a slowdown that we had not observed up to present. Our portfolio is relatively shortened. We do have a very close follow-up on this.
Bruno Amorim: Thank you. Thank you very much.
Operator: Ladies and gentlemen, at this point, we are going to end the question-and-answer session. We're going to return the floor to Mr. Andre Rodrigues for his closing remarks.
Andre Luis Rodrigues: Well, once again, we invite all of you for our next edition of WEG Day on December 8th. It will be a pleasure to meet all of you. Thank you very much for your attendance. Have a good day.
Operator: The WEG conference call ends here. We would like to thank all of you for your participation. Have a good day.